Unidentified Company Representative: Thank you very much for waiting, everyone. We would like to now start SoftBank Group's earnings results announcement for the fiscal year ended March 31, 2021.  Now I would like to introduce today's participants. On your left, Masayoshi Son, Chairman and CEO, SoftBank Group; Yoshimitsu Goto, Board Director, Senior Vice President and CFO; Kazuko Kimiwada, Senior Vice President, Head of Accounting. Today's announcement is available on Internet -- broadcasting over Internet. Now that we would like to invite Masa Son, Chairman and CEO, to explain you SoftBank Group's earnings results. Mr. Son, please.
Masayoshi Son: Masa Son speaking. Thank you very much for your time today. So let me start my presentation, and I have a photo which has not too much relevant to the earnings result as a matter of fact. This is one photo. Can you guess what it is? People here attending today or people who are listening about the Internet may not know if you -- I don't believe that there is anyone who knows about this photo. For me, this is very important, one page, one photo. Back in 1981, at the year that we founded SoftBank -- actually, SoftBank did not born in Tokyo, but born in Fukuoka prefecture, there is small town called [indiscernible]. But when I was 16, I went to United States and spend the time in big city in the United States. Also, so the birth of the microchip, also big development of technology in Silicon Valley and the evolvement of the technology. And after I graduated, came back to Japan. At the time I went to United States, I told my mother that I will be back to Japan for sure after I graduated. So at the same time -- at the same time of graduation that I came back to Japan. And since then, every day, about 18 months before I founded SoftBank, I was thinking, what kind of business I should be doing. What kind of entrepreneur I should be doing. What should be the vision for me to raise my business? So I've been asking myself for about 18 months. At this small town called [indiscernible], at the second floor, a very small building in just a small room there on the second floor, I was exploring and thinking about what I should be doing. So I have crossed this road several times. And also waiting for the train to go through, I just remember hearing the sound of trains -- the sound of town. And ones that this sounds stops then I hear the signal. Green lights, and I get the station of [indiscernible], after I pass this road and over there, there is a Hakata station. And even further there, Tokyo station is there. So above -- across the same crossing, there is some dream there. Sometime, I should be able to cross this train crossing with my huge passion and vision. So that's the kind of time when the SoftBank was born. And 2 employees that I had hired, 2 of them in -- at the morning session, morning meeting, I told them although that we are starting a business at a very small time like this, but sometime in later, I will make sure to grow our business to count our market cap like ¥1 trillion or ¥2 trillion, and those 2 employees actually left the company in a few years -- a few days later. I have talked about this several times, and you may recall I have spoken about this. But look at this photo, this is the place. This was the town in a very small building, and a guy like me that start thinking about -- dreaming of making our business to ¥1 trillion to ¥2 trillion from this -- such a small town in such a suburbia. You don't imagine that, but actually, I did. Actually, after foundation of our business, first year, we made a revenue of ¥3.6 billion. And after that, we relocated office to Tokyo. Of course, the Tokyo office was still small, only about 3 staffs and me sharing the small desk altogether. asking -- sharing the office back then of the other people's office and start that business in Tokyo. So for today's announcement, officially, I would like to announce our net income, ¥4.99 trillion. Finally, our revenue in sales now counting trillion, ¥2 trillion, and so on. Just about a year ago, actually, we are making a big, huge loss. And going forward, in the future, depending on the equity market, we may see some ups and downs. For SoftBank Group, the revenue profit or loss of ¥1 trillion is not something surprised actually that, that something could happen. So today's announcement. Main message summarized in this one photo, I believe. 40 years of our history, put it into one slide, one photo, and I believe this is it. Many dramas, of course, many crisis. Sometimes I was so happy. Sometimes I was so depressed, but this is the history of SoftBank for 40 years. Biggest revenue income, our biggest loss. But the evaluation by investors were not always supportive, of course, ¥4.99 billion net income make people say that the onetime gain from [indiscernible] is included global stock market rallied. And also in the fourth quarter, we had several large-scale IPOs. [indiscernible] or some others. So this is just a coincidence. This is a lucky, plus lucky, plus lucky for us, and made a onetime gain. So this is just a kind of by exaggeration of luck. Then of course, for me, there are many regrets as well. There are some failures in investment. For example, WeWork, Greensill, Katerra, many investments which failed. Those are my regrets. But at the same time, even more regrets is that I have also missed so many great opportunities for investments. For example, put it in baseball, you just didn't hit, just didn't really swing your bat. Also, in many ways that there are lack of systematic approach, so we would like to address such an issues sincerely. But about 4 years ago that we have transformed ourselves into investment company. So now that the core business is investment activities, so not as an operating company or telecom business, which is operated by SoftBank Corp, led by Ken Miyauchi, and now starting from this year that our CEO has been -- he has passed the torch to Junichi Miyakawa, our new CEO. So as a SoftBank Group, such the holdings, Yahoo! or the SoftBank Corp, there are many companies that we have underneath of us. But mainly, led by SoftBank Vision Fund. We would like to continuously show our gains. So even we call ourselves as an investment company, but we don't expect any gambling, just a onetime gain because of the market rallies that we made money one time. That's not the way that we are looking for. We like to be looking at continuous gains through AI for new technologies, new ways. And we would like to start investing or turbo charging, such small start-up companies to develop themselves, and so that we will be able to see the many IPOs from our group companies. And for that, what we do need to do, we do need to have enough capability to discover and analyze those start-up companies, enhance our organization and also have a good financing structure as on our systems inside of our company, produce our golden egg is something that we explained in the previous earnings results announcement, and that's something we would like to be more in detail. Consolidated results here. You see our net income I have already touched on in earlier pages. What is more important is the NAV, net asset value. That's also been discussed at previous earnings results announcement. So this is net asset value. So those that share -- value of the shares that we held, we list net interest-bearing debt. That's the net asset value. About a year ago -- compared to a year ago, that the ¥4.4 trillion increased compared to the last year, so that our net asset value has increased because of the increase of the net income. But the things that not accounted into our net income calculation is Alibaba, for example, Those are equity method calculations. Some of them are [indiscernible] assets. So the net income is not 100% straight in -- build it into net asset value. But roughly speaking, that what you could say net income will be added to net asset value, and here, in the past 20 years, this is kind of kind of movement for the net asset value for the past 20 years. ¥26.1 trillion as of the end of March, net asset by the SoftBank Group. Here inside, if I break down Alibaba, Vision Fund and others. We can break into 3. Just about 6 months ago, ratio of Alibaba was about 60% out of our total net asset value, so that many people criticized that Softbank Group is very heavily depending on Alibaba. But as of today, Alibaba's share out of net asset value is about 43%. And also Vision Fund, about a few years ago, It was just about 5% to 10% out of our net assets value. But now that it's taking about 25%. Sometime near future, we believe the ratio, this blue portion out of net asset value of SoftBank Group, will be increasing and can be the biggest out of our total net asset value. That's how I expect in the future. Yet although we have a lot of net asset value, but if people may also doubt or criticize that the SoftBank Group has huge debt, and I want you to see the fact here of our net interest-bearing debt. Out of the total ¥30 trillion of equity value holding, only 12% are the -- our debt. So in a normal time, we would like to manage our long-term value. This one 25%. If we come close to being 25%, we should be slowing down the pace of investment or we should be considering divesting some of our assets holdings, so that's how we see our loan-to-value LTV. This ratio is very important from our defensive point of view. And the 12% normal case to less than 25% that we would like to operate our business. That's how I basically think. And at this moment, is 12%, which is very healthy and sound ratio. Even in abnormal case that we would like to manage less than 35% of loan to value. Last year, just about a year ago, we start are seeing a big damage due to the COVID-19, and we need to be defensive, and that is why We have announced the monetizing program of ¥4.5 trillion. Out of our holding assets that we would like to divest and monetize those so that we will be able to be more defensive at the time of the risk or at the time of danger because back then, we didn't know we couldn't imagine how deep the value of the COVID-19 will be. Therefore, we -- I said that we should be defensive more than necessary so that we'll be able to protect our company. So ¥4.5 trillion program, and within the year that we need to monetize, that was the announcement we made. In reality, we achieved our commitment in 6 months. In addition, About ¥10 trillion of the monetization was achieved. So we were able to meet our goal because that we have announced the arm -- [indiscernible] NVIDIA, that comes -- bring us to close to ¥10 trillion. And being that I -- defensive, we also announced the share buyback, share repurchase, ¥2.5 trillion buyback was also announced. Just about today, 3:00, we closed -- at the time of close market happened to be able to complete ¥2.5 trillion share buyback. Exactly ¥2.5 trillion of share buyback was completed, and I'd like to announce that we're going to retire this amount of treasury stock. Repurchase on stocks and retire them, that mean net income per share and NAV per share should go up. The number of shares decreased. By the way, average repurchase price was ¥6,815 and currently trading at ¥9,000 or so. As of end of March 31, the share price was about ¥9,300, which is about the same as the current level. And since the number of shares went down, earning per share should have grown. Earning per share was ¥9,869 or 3.3x -- grew by 3.3x compared to the end of March. Usually, PE ratio, price earning ratio, 3.3x is very low, and SoftBank should have last longer than 3 years. That means that the value is relatively cheap, but depends on how you look at -- because stock market is moving ups and downs. And again, you may say that you just had onetime gain. That's why our valuation was low. I understand that, but net asset per share is, what, ¥15,000 roughly as of today. So today's stock price was about ¥9,300 at the closing of the trading today, and equity value of holdings, including Alibaba, Vison Fund and T-mobile and KK NAV per share is ¥15,000. So from a shareholders' perspective compared to 1 year ago, which was about ¥3,000, maybe some shareholders might see it as overvalued.  But don't worry, even taking into account of debt per share, the value is ¥15,000. In fact, bills you have an wallet value more than the total value of the bills and wallet combined. In other words, undervalued, that's my point. Anyway, 12 months ago, most people were worried about our performance of Vision Fund. And 1 year ago, when we made an earnings announcement, I said that we were in red ink -- our books were red ink all over. And we had net loss, huge net loss to consecutive terms or so. For example, WeWork and Uber, those shares were really underperforming and we suffered a loss. But at the latest quarter, we made ¥3 trillion of income. If you take a look at this graph, you see ups and down. But in the last 12 months, we recorded ¥6.3 trillion of gain. And some people criticize Masa's view or insights are not always correct, but I'm not overjoyed or depressed so easily. Just stay calm. We invested above ¥300 billion and the gross [indiscernible] gain to Vision Fund I was about in to ¥8 billion. And we also grew by 0.4x, and Compass grew by 1.9x.  And the margin also grew by 2.3x compared to the investment that we made. We've got Vision Fund 1 and 2, and blue buckets are listed public investment. And the left-hand side is investment cost and right-hand side as gross return as of end of March. We invested ¥1.7 trillion. And now the gross return is ¥6.7 trillion, which means ¥5 trillion increase. Likewise, Vision Fund II ¥500 billion gain was achieved. There were some unlisted stock investments, but as far as the listed companies go, compared to investment cost, gross return grew both Vision Fund 1 and 2. Vision Fund 1 was ¥10 trillion fund, as you remember. And of that ¥10 trillion, SoftBank's own money was ¥3 trillion out of ¥10 trillion of the fund. But 60% of the gain should go into our SoftBank Group. Of ¥10 trillion, ¥4 trillion is preferred equity portion, it's not borrowing, but kind of close to borrowing. And the remaining ¥6.5 trillion is equity portion of equity, about half ¥3 trillion was financed by SoftBank Group. So of the gain SoftBank Vision Fund, made about 40% would go to our partners. And from the partners' perspective, return to investment per year is shown here. For equity, 30% IRR; preferred equity, 7% IRR, it's a fixed distribution; and blended IRR, 22%. So I -- so the partners that invested together with us, should we get 22% of return annually. From -- again, those numbers I just shown are from partners' perspective. And from SoftBank Group perspective, net equity IRR is 39%. Why? We've got the performance-based distribution as well as fixed -- sorry, we have performance-based distribution. So since the performance was pretty good, we enjoyed much better return. One year ago, we suffered a huge loss. But compound gain or return of full year churn,the IRR is roughly 40%. Looking back, Fund I's performance was pretty good. And by the time we started Fund II, which was about 12 months ago, we invited partners, but we were not popular at all. So nobody came to us. So we started Vision Fund 2 with our own money 100%. So the gain from SoftBank Vision Fund II should go 100% to SoftBank Group. And net equity IRR of Fund II is 119%. We just started Fund II. And this over 100% IRR is not going to stay forever, but we made a pretty good start And currently, we're looking at 119% of IRR. Combined Fund I and SAN 2, net equity IRR is 43%. By the way, other than Vision Fund, entities like Yahoo! and -- sorry, SoftBank KK, Alibaba, Supercell and Sprint, we invested in those businesses. And over the last 20 years or so, SoftBank recorded about 40% or so in equity IRR of SoftBank is on Fund 1 plus 2, 43%.  And SoftBank's own investments IRR is also about 43%. Again, this should go up and down, depending on the environment. So we should not be overjoyed. I understand. In LatAm fund, we launched quite recently led by Marcelo and his team. This LatAm fund made a good start as well. They invested to ¥188 billion and also made huge gain. And over 10 top unicorn companies in Latin America, LatAm Fund invested in 6 companies on the list. In LatAm Fund, We own 100%, no other partners. And the LatAm funds, net equity IRR is 62%. So again, good start. The 5 is still small. So if you combine Vision Fund 1, 2 and LatAm Fund together, IRR is about 40-something percent. So as an investment company, IRR is the most important measure. Vision Fund I plus II's IRR, 43%. And SoftBank Group's IRR, 39% and all combined 43%. So I kept talking about percentage of return. And you may say that now, Masa is just a gambler. Well, that may be true. So I don't disagree or deny such a view. But I'm not -- just in terms of money, I am interested in most advanced technologies, AI and business model driven by AI. Those are the things that I'd like to dig deeper and bring them into our group to deliver synergies. So how AI's technical revolution go? And what kind of evolution -- revolution are taking place? And computing evolution, those are the things that I am strongly interested in, and I keep learning to sharpen my insights. And the most important in AI world is GPU performance. GPU performance, the biggest company in the world for this one is NVIDIA. So selling R&D and NVIDA, it's like sales, but at the same time, we will be receiving NVIDIA shares so that we will be -- we will become the leading shareholder of NVIDIA And this advancement of GPU is also equivalent to the advancement of our group at sale and 13x in 5 years.  Also for sure that the autonomous driving is coming. In the high-tech representative was the smart smartphone. Smartphone becoming -- also being in the Apple to the market cap global #1 company. But smartphone is the advance toward the core of the high-tech technology, high-tech device. But going forward, I believe autonomous driving will be also 1 of the such an advancement Autonomous driving is the kind of becoming the core, not the Level 2 or Level 3. But rather, level 4 above will be available to the market in the future. And the basic for that is the dedicated chip for autonomous driving, which will be mounted in the car. And in this year, it became about 3,000 times by 2024, will have a capacity of 1,000 times. In about last month, NVIDIA announced it's Grace compared to the traditional tip AI learning speed became 1/10. And I think this places was very important announcement because Number 1 of GPU, NVIDIA using CPU design, taking advantage of such technology And powered by GPU will be building cloud servers It will be the latest edge technology, which was just announced.  So NVIDIA plus ARM announcing such on the GPU so that chip dedicated to AI or chip for computing platform for AI, this will be very essential And also this merger still on the process for the regulatory approval in the I'm convinced that we'll be able to receive such approval and engineer from ARM by collaborating each other, they will be the strongest dedicated for AI or building great performance of the platform.  So that then at the same time, continuously will be able to serve for the clients. So for the industry or we believe that will be a great news. So AI, just the beginning, is disrupting every industry and making even more development Vision Fund 1, 2 and LATAM fund in total number of total companies, they are 224, including those approved by our investment committee. Just about 3 months ago, when we announced our earnings, it was 164 companies. So we have added about 60 companies in 3 months. Vision Fund 1 has already finished its investment period so that it will be supported by IPOs and other event. But Fund 2 is now just begun, so that number of the company-wise, it's already exceeded the number of company, which is 95 in Vision Fund II compared to 92 in Vision Fund 1. Fund II just has begun and because SoftBank will have money and you cannot really invite third-party investors so that the people may say that we just are slowing down slow start for Vision Fund 2 and many people think that way, but actually, Vision 2 has already invested more than a number of companies than Vision Fund I. In addition, LatAm has also invested in 37 companies and also growing together with others 24 companies. Over last year, 14 companies went public, before then, 6 companies went public. So 6-- 14 for, that is how we see the increase of the number of companies went public in 2021, actually, we believe we will be able to see more IPOs than the last year or this last fiscal year has already been seeing pipelines of those IPOs with specific companies that we are expecting that they are preparing for going public and by increasing such -- more companies or the investment company, invested companies number increase the more that we invest The more we see the IPO.  So it's not luck. It's not a bad luck or good luck, but it's just a matter of certain possibilities that we believe we'll be able to see the good work out of our ecosystem. And that's what I have said in the beginning. I said that the lack of a systematic approach, that was missing, and that was my regret in the past. So that's something that I would like to strengthen and enhance so that we'll be able to improve and even develop further. Out of 224 companies, I cannot go every company to introduce you. So I would like to pick up some interesting one for you as an example, [indiscernible], you may not know, I believe, the not name of the company, but simply put, online convenience store. So it's like a micro warehouse that you put the inventory in the warehouse, and there are about 3,000 items. And if you don't receive your order in average 23 minutes or so that you'll be able to deliver to your home. So about 20, 25 minutes, I will say, as of today, 23 minutes or so. And also we ask for delivery fee for about $1.95, and the subscription fee is $5.95 per month. So we have quite a robust business model here and also have a very good high margin. So it's a very good business in terms of profitability. I want you to see some video here. [Audio/Video Presentation]
Masayoshi Son: We're using your smartphone, you'll be able to pick up It's like a convenient source for you. So like you usually shop, you'll be able to deliver to you -- to your home. And also, you can inform you, you'll be receiving information that your stuff has arrived, and you'll be able to be receiving. So after you shop, you'll be able to deliver. It's not the next day, it's not 24 hours. It's about immediately, almost immediately. So that's [indiscernible]. So the base for logistics. Micro warehouse, there are about 450 locations with 60 -- 650 cities in the United States and these days are now expanding to Europe, and they have a partner brands where that had on convenient source, the other partners. They limited to the number of SKU instead of expanding to million, 2 million or anything, but rather limited to most frequently purchased goods. That's the model for [indiscernible]. So using AI, you'll be able to see the user contribution, regionality day of the week, time of the day event. Those data are accumulated and AI will forecast demands real time by time, by store, by locations and analyze those in deep so that you'd be able to optimize the inventory in the warehouse. So that you'll be able to deliver in 20 to 25 minutes, which is making a rapid growth better. This just announced last night of Japan time that merger of Spec has just announced yesterday last night, mortgage loan -- people purchasing home health is the biggest shopping of your life. I believe for most people and the new purchase, health there are many complicated processes. In United States, if you have about 10x of sales and buy, then that's going to be sold or tedious complicated registration process. If then that will allow you to do on one stop, all in online in AI, so that you don't need to transact with people. And also loan process is very quick and not asset heavy, and the financing as institution or banks can be arranged with low interest rate and immediate loaning process can be matched to the client. So matching engine is run by AI. From banks' or financial institution's point of view they don't need to do the interview with clients, check the paperworks, insurance, all those things has not really needed. Just one package. Better, we'll do it for you in the banks or financial institutions. Based on the clients' credit scoring that you'll be able to tell the value of the housing itself. Matching all those that you'll be able to make the process complete so that hours per loan is to 1:22. And also our funded loan 1/3. So that at the same time, loans per month has increased by 2.5x in, and the labor cost has decreased to 1/3. And as a result, loan origination has increased from ¥4.9 billion to ¥24.2 billion. It's not a better balance sheet using, but the beta is just introducing to banks financial institutions, it's the kind of an agent in matching between clients and financial institutions. And the sales from that margin comes 10x in 1 year, and has already making ¥876 million of net revenue. I have a high expectation on this company. Jellysmack, this is the 21st century type of creator group. Creator groups like Hollywood will be stars musicians, those people are the group of creators, and the people money such create a group is, for example, Universal Music, Sony Pictures, there are also a such management company and also distribute such products to the people. But 21st century type of creator is such a to see the video here again. [Audio/Video Presentation] Longer than TV, so that Instagram, Tiktok, there are a variety of the short clips are now available. And the young generations are spending more time in short clips than TV in the creates, so many creators in Jellysmacks has been built. And here, 200 people, popular creator is in this group and dedicated contract like Hollywood, 200 top creators are dedicated to Jellysmack in the their sales comes in -- some ratio out of their sales is coming to Jellysmack.  And the YouTuber for example, it's a very popular YouTube in the YouTube about the median followers, if you have 1 million followers once you became popular, you may be able to get the revenue of about ¥1 million. But that's coming from the advertisement. Revenue share will be distributed to YouTubers, but YOU can they become a star in YouTube. About 80% is stop at to bring over cross-sell. like Facebook, Snapchat, TikTok, Instagram. Only about 20% can do the cross-sell to the other internets, which is very hard job, hard work. For creators, the most complicated part is editing for their content. So this editing -- well probably shooting the video is not that hard. But you have to do the good quality of editing. Otherwise, that you cannot really bring impressive short clips . YouTubers it's 10 minutes. Facebook, that's about 3 minutes or so. TikTok, about 15 seconds. So for those that -- for 10 minutes has to be edited again for 3 minutes or 16 seconds. The editing process, every time, is very hard working and also you need a know-how for that. So as a result, you only stick at 1 content, that's about 80% of YouTubers.Cross-selling requires tools, technologies, consultations or the charged advertisement an increase. That's what Jellysmack does, for example, Brad, which is who is popular in the United States. He has a follower of about 1 million, 2 million in YouTube. But by belonging to Jellysmack that they will be, he became increasing the number of followers. In further cross-sell with the advice and support by Jellysmack, he has now the 9.7 million followers in Facebook. And in addition, Snapchat, he has -- he acquired about 4.5 million followers. So if you are only receiving ¥1 million per month, and now that you'll be able to increase your revenue by 10x, 100x and so on. So for those that -- who are popular in YouTube, the AI every day, real time that taking new stars discover those great talents in YouTube are dedicated -- they are asking those popular YouTubers introducing to Jellysmack. And now that the Jellysmack total followers of 360 million and more than 10 billion viewer. So number of viewers, it's already #3 out of total number of viewers. First is Disney, second is Viacom. Much more than Fox and Comcast. So this Jellysmack can be viewed as a media. It's huge and Trax. AI can image recognition, as you know, but recognizing images doesn't mean a lot. The image should be used effectively for sales guys to secure shelf space, for example. One of the most important responsibilities that sales guide should wear is to make sure that you've got shelf space at retail shops. You need to negotiate with the owners of the shops, and you need to go through some investigations and surveys. And also you need to check prices of competitors. Just show you a video. [Audio/Video Presentation]
Masayoshi Son: Where SoftBank was doing publishing business and selling software at retail shops, I visited shops every day. And it's important to secure these location in shelves sells to catch customers' eyes and also space close to cashiers are very important. And not taking notes, but just shooting image and upward to Trax, then Trax can give you advice by processing images. And cost of influence reduced dramatically from ¥1 million to only ¥3 in 2 years. So AI contributed a huge cost reduction. So sales guys go out there and take photos and upload images to this -- Trax. Then brand, package, category, amount, price, size should be analyzed by AI. Then effects of AIs use will be like this. For example, stock duration, stock alteration reduced dramatically. Shelf audit time, down dramatically. Number of stores per sales team grew dramatically, and revenue grew by 1.2x. So revenue grew by 1.2x and then profit should be doubled. So every household name of the brands, American brands want to sign a deal with Trax because they can expect better cost performance and better sales and profit. And from a retailer's perspective, we can reduce the time to manage shelves and prevent shelves from being empty. So I think this is going to redefine how the sales guys work. And recently, automatic process is taking place and Trax is growing exponentially, and the Jobandtalent is AI talent matching. Part-time workers, temp workers for a shorter period of time, even though churn is very short, you have to go through face-to-face interviews and paperwork processing and decentralized information. That's a traditional way. But with AI, everything can be matched. Currently 95,000 workers, signed a contract with this Jobandtalent. And over 1,000 employers are using this platform, and worker satisfaction increased, work retention increased. And again, big brand names like Walmart and Cisco and the Pfizer, those companies are using Jobandtalent for talent matching. So the rest goes on and gone, and I review those companies that invested in every day. The number of companies grew by 20 per month So we are making investment decision almost every day. Again, to summarize, I showed you a lot of numbers like NAV, net income, NPV and IRR, a lot of numbers I talked about in this presentation. But the most important thing is summarized here on this one photo. Over the rail crossing, there's a huge dream and grab that dream no matter what it takes. The sound of a signal, and the sound of my heartbeat were in sync. I have such a motivation and drive and excitement, the chemical reaction. That excitement still is inside of me. And so long as I have this passion and excitement and heartbeat, I will keep chasing my dream over the rail cars. I will keep chasing bigger dream and achieve a goal. That drive and motivation and excitement are the most important weapon and asset for SoftBank. No matter how many shares we have, no matter how much profit we delivered, that's probably one snapshot. But I'm not satisfied with ¥5 trillion, ¥6 trillion or even with ¥10 trillion. I keep going So long as I am excited. That's my passion. Yes, there are some regrets and lessons learned, but there is an opportunity for growth so long as we learn a lesson. So not gambling, not onetime gain. We have systematic approach in place so that we can be a true producer of golden eggs. AI revolution has just begun. I talked a lot about money, but money is just a tool. From SoftBank's perspective, what matters most is our vision that has been remaining the same since the foundation of the company. Information revolution, happiness for everyone. Reduced sorrow, increased happiness, that's our ultimate vision. Thank you very much for your attendance and participation. Thank you.
Unidentified Company Representative: Thank you. Let's have a question-and-answer session.
Unidentified Company Representative: [Operator Instructions] So participants from the site, please?
Unidentified Analyst: Thank you very much. My name is Wada from [indiscernible] Vision Fund II, I have question. So we have already spent ¥30 billion. Do you have any plan to invite third-party investors in the future? And are you planning to provide a fixed fee like you did in the first vision? A number of the company invested has increased a number Vision Fund I, but is it the smaller size of the investment per company? Or do you -- have you changed your investment policy compared to Vision Fund I?
Masayoshi Son: We have spent about a few months after launch of Vision Fund II and doing pretty good. So in the beginning, we were inviting many outside investors. It was -- nobody actually joined. So we have started by ourselves. But actually, after we started it, we thought, hey, it's okay, only with us do this fund because just about a year ago, we have announced the ¥4.5 trillion monetization program and actually that we have raised or achieved about ¥10 trillion monetization. And about half of those are from the sales of are from the sales of [indiscernible] of course, So that's still waiting for the approval by the regulatory. But money-wise, we have quite enough cash in hand. So only by our cash, we could do our investment activities by ourselves. Therefore, that right now that we would like to continue investing using our own cash, Fund I, we will see the exit. Like the divestment of sales of the shares after they go public, so that we'll be able to receive the distribution. So that we believe that we will be able to recycle those money to for the new investments. So that's the status we have already achieved. So that situation has changed since then. Having said that, it's not that we don't invite at all from the third-party investor. But we don't have to beg for participation. But it doesn't necessarily mean that we don't ask any other third-party participation. At this moment, we just would be able to run our investment business buy our own money
Unidentified Analyst: Ichigawa from [Yomiuri Paper]. A question about mid long-term growth strategy. Looking at the latest profit You level as big as Berkshire, for example, the Berkshire, the market cap is much better than their profit level. Of course, you have different portfolio and history from Berkshire Hathaway. And for you to grow further as an investment company, what kind of a strategy or view or investment policy you have for mid to long term?
Masayoshi Son: NAV, which excludes the debt, is about 1.5x bigger than market cap, which, from my perspective, is undervalued. But in order for us to be properly valued, we need to learn a lot of lessons and we need to keep improving ourself so that we make a lot of people comfortable and confident with what we are doing and how we are doing. We make gain of -- sustainably, not just by one time, then at some point, I believe that we will enjoy premium on our value. But until then, we keep just going forward and keep it working on ourselves. Then once we are properly valued, that would make us happy, but even if that's not the case. What I do will remain the same, and we will continue striving for the better days. And hopefully, eventually, so long as we keep striving for better, we will see some good results. Next question, please.
Unidentified Analyst: My name is Dara from Wall Street Journal. I have 1 question. The investment vision for the future, I would like you to elaborate a bit. For example, will you be creating another fund like Vision Fund II? or are you going to create Vision Fund III or IV, inviting third-party money?
Masayoshi Son: As I mentioned earlier, In Vision Fund II, 100% our own money, we've been doing our good investments. We still have some room there. And also, we will be able to expect distribution from Vision Fund 1 and II by going -- by portfolio going public and so on. So that at this moment, I think we will be able to continue the current status. In the future, we may consider inviting third-party money, but we don't know yet at this moment. At this moment, we just like to continue what we are doing right now as the current structure. So 60 companies added in 3 months. So we believe will be able to continuously doing the same. So.
Unidentified Company Representative: Next question on the floor.
Unidentified Analyst: [indiscernible] from Tokyo [indiscernible]Question about Vision Fund II. As of end of December commitment was ¥10 billion. And as of March -- or so May, ¥30 billion And you said you added 60 companies on your portfolio in just a few months. So what kind of view you have in terms of the size of the investment?
Masayoshi Son: Since we have plenty of cash in hand. So long as there is investment opportunity, we will put together the money that is needed. So depending on how much we have in our hands and what kind of investment opportunities out there, so far, we have been seeing and discovering great AI companies. And those AI companies that deserve further investment. And so long as we have cash in hand, we want to keep investing in those potential businesses. And we get return from exit and other ways. Then we should be able to see further growth. For example, like I mentioned from ¥1 trillion to ¥3 trillion, we grew by size. But we will continue doing that so long as there are opportunities.
Unidentified Analyst: My name is Sakai from [Sanken] newspaper. At the European community that there were regulatory for the controller and also some regulations about the platforms. So there are some movements on the enhancement of restrictions on such AI. Does that impact to your vision on AI for the future?
Masayoshi Son: I believe we need the regulations on that. If there is no regulation at all, the privacy information and the trust issues, there are many aspects of issues which may arise in the society. So regulation itself is -- I believe, necessary for new -- such a new industry in any country. That always needs to address the new arising whenever there is new industry. So society requires such new regulations. But at the same time, development of the AI technology is advancing rapidly so that the regulations or the rules within such umbrella, we believe that the development of technology will continue. And for opportunities for that will be even more in the future. That's how I see it.
Unidentified Company Representative: And one more -- 2 more from the floor, a couple from NHK. Follow-up on that question, regulation and investment policy, especially in China, regulations on IT companies are stricter and stricter. Due to that, I wonder if you have different view from investment policy prospective, for example?
Masayoshi Son: Right and not only in China, but Western countries, are -- new regulations are coming up. . Like I said earlier, new issue need to be addressed by new regulation. I think, in principle, it's good for healthy growth of the society. So I welcome such regulations. But from our perspective, I don't expect that it will have an impact on our investment policy, especially since we are looking at Unicom, not giants like Gaffa companies.  We are looking at new pioneers that would explore new fields. So the current regulation discussions are probably different from what we are looking at.
Unidentified Analyst: My name is [Goto] from Mainichi newspaper. I want to ask you about the holding policy for Alibaba share.
Masayoshi Son: Alibaba some incident some news corporation and so on, but the performance -- business performance wise, actually, they are providing necessary service for the people so that business performance is actually growing, continuously growing. So our policy of Alibaba is in principle, no change.
Unidentified Company Representative: And the gentleman over there?
Unidentified Analyst: Sam from Reuter. Question about Bitcoin. Tessa, Nexon, they made an investment in Bitcoin. So under that the background, have you ever thought about investing in Bitcoin?
Masayoshi Son: Well, bitcoin per se, whether it's good or bad, there are a lot of debate going on. How much Bitcoin has in value? Is it bubble or not? To be honest, I don't know. But I also note that there are people who want to own Bitcoins or those currencies, virtual currencies. And platform or infrastructure that delivered things like Bitcoin probably are growing because there are a lot of people out there who are investing in Bitcoin like investing in gold stocks and bonds. But we still have a discussion with my team, whether will not be investing Bitcoin or not.
Unidentified Company Representative: So now we'd like to take questions from people online. [Operator Instructions] The first question is Inagaki-san, from Financial Times.
Unidentified Analyst: Yes this is Inagaki from Financial Times. SoftBank Vision Fund in the spec by SoftBank Group merger and going public, that was the news coverage that I saw or news coverage. So for by way of using Spec to list Visual Fund company, you going to use a spec that is established by the SoftBank Group. And is that something healthy way to do the IPO? That's something that I would like to ask you your view on that?
Masayoshi Son: Possibility-wise, yes, which means any companies, we have invested 20%, 30% or 40% in the -- more than 51% or majority is not the way that we invest in such companies. And each company, for example, Mapbox, that you just mentioned, I don't believe that there is not any official announcements or anything like that. But even if there is such a discussion going on, but each company in their own board meeting, analyze many offers out of many specs. And any proposal or offer from the Vision funds spec should be the good one from such company. And even from our point of view, if it is attractive, then the size or the company's status in many terms are satisfied in both way. If it's a win-win relationship, then that kind of matching could be -- happens. I don't deny that possibility, and we have about 224 companies under our umbrella. Even we do the spec, it's only going to be just a handful of spec. Majority of the companies will be going public in traditional way. That's the main route that we are looking at. Just a part of those can be. We may be the sponsor for the spec side, it's all case by case. It's not violating any rules or the it's not unhealthy or anything. It's just the company itself decide, based on the offer from many spec proposal and in the Board meeting of such company decide our taking, our offer, if we are proposing any. And that can be the competition amongst these spec sponsors. If we are the only sponsor for the spec for the offer, may not be the case for many cases, from my understanding. That could be very unhealthy, but -- so that we would not be the only offer or only sponsor candidates for the spec. But amongst the many offers or the proposals by the sponsor candidates of spec, we may be also the one. That's one possibility we don't deny.
Unidentified Company Representative: Next question is from Bloomberg, Mr. [indiscernible].
Unidentified Analyst: I have a question about share buyback. So the existing program should be completed by the end of this day -- today. You spent about ¥200 billion per month to repurchase shares, and I wonder if there will be another commitment. Or if not, how much do you think you can support our share price going forward?
Masayoshi Son: At an appropriate time, We may make an announcement of further share buyback. But at the moment, there is no decision made with regards to further share buyback, and you had mentioned that supporting share price. Well, once you make announcement and do share buybacks, in many cases, share price may go back -- or go up. But supporting share price is not the goal. If you think it's beneficial for us to buy back shares, we will do. And at the same time, we need to keep looking at investment opportunities and also need to keep looking at LTV and the balance sheet. And if share price remained underperformed for a long time, yes, we will consider buying back our own shares. So we are looking at a lot of options and balances and make appropriate decisions accordingly.
Unidentified Company Representative: We will take a question from Owada-san from [indiscernible]
Unidentified Analyst: Can you hear me okay?
Masayoshi Son: Yes. Thank you.
Unidentified Analyst: I would like to ask you the utilization of digitals in Japan. So digital agency has established and now that digitalization is ongoing in Japan, but at the same time, the basic distributions has been complicated. Vaccination systems still have a challenge in the IT side, and you must have mentioned that the Japan should be advanced country in digital -- digitalization to increase an capability, what should we do? What we should do? So you the IRR are 43%. How can you contribute to Japanese society in terms of digitalization?
Masayoshi Son: I believe there are about 1,000 unicorns around the world, especially focusing AI. In Japan, there are only 3 companies. Definitely, we are behind in terms of AI revolution, and that's the fact. And digital transformation or in the next steps, AI transformation is waiting for us, ahead of us. So digital is already the common sense. If it's not digitalized, already, we are not in a starting line yet. There are many people still using facsimile for us sharing the result of PCR testing, for example, that's very embarrassing. Even cannot talk about that so that digital transformation is Of course, we have to do. But on top of that, now that the global society is now competing against AI technology so that the -- we should be in -- not behind the starting line not behind the starting line. So we have to be on the same stage with the other countries. So if there's 1,000 companies around the world, we should have about 100 -- 10% should be coming from Japan so That means that, that concerns me a lot as well. But at the same time, I'm not a politician. I am not a decision-making body or process person or anything. So that what we're doing as a 1 company, we just showed that -- showcase -- showcasing our success track record by doing our businesses, investing in global companies, and hoping that we will be able to -- just will be motivated to do the same and hoping that we'll be able to have a good unicorns to be raised in Japanese market as first what I'm thinking, how can we environment? I do have some ideas, but it's too early to tell, but hope that you'll be able to have a ground for -- so that the Japanese unicorn be able to raise in Japanese market. And probably, it's too early to discuss at this moment regarding what kind of idea I have at this moment. But I'm pretty sad to see the current situation of Japan.
Unidentified Company Representative: Next question is from Yamamoto-san from Asahi Newspaper.
Unidentified Analyst: Yamamoto from Asahi Newspaper. Looking at the earnings results, you mentioned that some people may see it as by accident. But also you said that you're not satisfied with ¥5 trillion, ¥6 trillion, ¥10 trillion, but you delivered the biggest income amongst the Japanese companies. And in the past, that Toyota have been The top on the list in terms of income that you are exceeding Toyota? What's your view?
Masayoshi Son: Yes. Well, ¥6 trillion of net income, just actually by accident, broadly speaking. So we are not over proud of that, but we achieved that, and I don't want it to be just one time. I want to make sure that we can go further with systematic approach. Our supervised agency was that we are not receiving any per shooting from such government agency, taking the position in the company, just about 2 years in between and continuously receive such passion ting resources from governmental offices. That's is not bribery, what is, why people don't really doubt about or ask about it, it's not only the certain company, but it's actually industry in any industry. That's structural issue. That should be even more -- we should be more upset about. Vaccinations, for example, pharmaceutical companies, or there are so many things that I would like to discuss here. But today is just earning result announcement. I shouldn't be off the course in terms of such discussions. So -- and also, if I say one word, our SoftBank Corp. employees management may be it will be negatively received. So I always put up is what I ever want to say because it's going to be negatively damaged to our SoftBank Corp. management. But sometimes, I may need to say a thing. But for today, this is earning results announcements and very end of my presentation, I don't want to make any of the course discussion or speech, but we, as a one company in Japan. Through our business, we would like to make people bring the people happiness, we would like to contribute even just a little bit. Many lets and learn, and we'd like to make good steps forward. Thank you very much for today.